Thomas Mengel: Good afternoon and good morning, everyone, and thank you for dialing in today to the Gold Fields webcast where we will be presenting our Q1 operating update, which we released this morning, and then our ESG results for the 2022 full year. Presenting today, we've got Martin Preece, Interim CEO; Paul Schmidt, our CFO; and Kelly Carter, who's Group Head of Legal & Compliance. So with that, I'm going to hand over to Martin to present. Thanks.
Martin Preece: Thank you, Thomas. Good afternoon and good morning, wherever you're dialing in from. And thank you for taking the time to join us today with a Q1 update and then our update on our ESG performance for the previous year. We've got a lot to be proud of and have started off the year well. If I can just remind you of the forward-looking statements and caution you accordingly. And then if we can just move into key salient features. Unfortunately, we've had a challenging quarter 1 in terms of safety, suffering a fatality at our Tarkwa mine. And then at the Asanko joint venture run by Galiano Gold, they earlier in the quarter also had 2 fatalities in a vehicle-related incident. We pass on our sincere condolences to the families, colleagues and friends of our colleagues that we've lost. And I think important that we recommit ourselves, I think, to eliminating serious injuries and fatalities across our business.  In terms of ESG, our climate change report and report to stakeholders has just recently been released, and there are copies on our website. In terms of our operational performance, we've had a solid quarter 1 with production flat year-on-year at 577,000 ounces. We've generated free cash flow of USD 83 million. And in terms of the balance sheet, sitting at a net debt of $875 million with our net debt to EBIT (sic) [ EBITDA ] rising incrementally to 0.36x. And then I think something we're really proud of after most probably over a year's really hard work by many of the people both in our business at AngloGold Ashanti and Osisko is -- we announced the proposed Tarkwa/Iduapriem JV during quarter 1. And we've obviously got to conclude that with negotiating with the government of Ghana. And then earlier this week, we announced and closed the joint venture agreement with Osisko in Canada for the Windfall Project. And that is something that's in the starting blocks and going with all conditions met. Just looking at our business across the globe. Australia still dominates in quarter 1, making up 42% of our production; followed by West Africa at 30%; South Africa, pleasingly up in third position at 15% now; and then the Americas at 13%. That will obviously dramatically change next year when we bring the Salares Norte mine on. And importantly, you'll see in our North America graph, after the announcements earlier this week, we now have a presence in Canada. Just we touched on this in the introduction. I think production flat at 577,000 ounces, all-in costs and considering the effects of inflation, I mean, I think we all managed at just marginally 2% up year-on-year for quarter 1 and, as I said earlier, net free cash generated from operations sitting at USD 83 million. I think a key deliverable for us this year is bringing the Salares Norte project on stream. And I said it's going to make a big dent in our production next year and change the split of our graph -- of our gold fairly dramatically next year. In terms of project, just over 90% complete now. So the team has made a nice steady progress. We're still forecasting first gold in quarter 4 this year. That's fully staffed both operationally, and we've brought in extra project resources. Our camp is at full capacity, requiring us to move our exploration teams out to a satellite camp so that we can give priority to getting the project done and constructed. And during the quarter, we also managed to drill 7,000 -- just over 7,000 meters of exploration drilling. You can see from the photos at the top right, the progress of the process plant and mine offices there. In the sort of left-hand quadrant of that picture is the primary crusher that is operational now. It's got power to it. They run it, and they systematically will now go through the stockpile, the mill -- the big building in the middle and get those commissioned over the coming months. So we're very pleased with the progress that the team has made. We've got close to 1 million tonnes of ore sitting on stockpile now. So as the plant comes on stream, we'll be able to start feeding that. And as you can see at the bottom-right picture there, that's the Brecha Principal pit. Those of you who've been following the story will know that, that was a mountain about 2 years ago. It's now a hole in the ground and half the mountain gone, with mining close to 60 million tonnes of waste, which has been done. So the mine is set up to start producing. Paul, if you just want to touch on the guidance.
Paul Schmidt: In terms of the outlook and the guidance for '23, pleased to confirm that we're still on track, and the guidance that we gave in February is still confirmed. Just wanted to remind the numbers: production -- attributable production of between 2.25 million to 2.3 million ounces; AIC, our all-in cost, between $1,480 and $1,520. Remember, when we did put up the guidance, we said there could potentially be 25 if we decide to go ahead with the St Ives solar project. We haven't done that yet. We haven't made a decision yet.  CapEx is also in line between the $1.1 billion and $1.2 billion. Long-term guidance, obviously, nothing has changed in terms of the '24 and '25. I think pleasing to see inflation still -- is still a problem. And we have -- based on year-to-date numbers up to April and forecast for the balance of the year, we're looking at 7.2%. That's in line. When I did give guidance at the beginning of the year, I said we had factored in circa 7% in our year-on-year numbers. I think the really pleasing performance came from Peru, where they seem to have been able to offset a lot of it. And their forecast for the year is around 1.6%, which is probably the outlier but a good outlier in the group. Apologize for that. We're just kicking over from the Eskom to the transformer.
Martin Preece: Okay. We go into our ESG performance. A picture from our Salares Norte mine. It's a beautiful part of the world. And that picture very much reflects the operating environment. Just to remind you in terms of our ESG targets, the 6 big targets that we're focusing on is safety, health, well-being and environment. It's been the first priority area. We want to achieve 0 fatalities, 0 serious injuries and, important, 0 serious environmental incidents.  In terms of gender diversity, we've set our target to get to a representation of 30% of our total workforce being women. In terms of stakeholder value creation, 30% of the total value created must benefit host communities. And then we've also started scoping and implementing in Peru the first of our 6 legacy programs that will benefit those communities. In terms of decarbonization, no need to remind the world, but net zero by 2050. We want to see a 30% net reduction from our 2016 baseline by 2030, which equates with our production build up to 50% absolute emission reduction. And that's based on 2.8 million tonnes, and that's Scope 1 And 2. Pleasingly, the team has started working on Scope 3 reductions, and we will report on that at the back end of this year. In terms of tailings management, our conformance to the global industry standard on tailings management, so we are actively driving that. We've got 2 high-risk dams. And then the remainder, I've got to later finish that, and then reduce the number of active upstream raised TSFs from 5 to 3 over the coming years. Water stewardship, which I think is something that we've been focused on for many years and is going to become more and more of a challenge in the world, is to get up to 80% of our water to be recycled or reused and a 45% reduction in fresh water use from the 2018 baseline. So stretch targets, and we're certainly pleased with the progress our teams are making. So I've touched on the 2030 targets. Unfortunately, as I said in our introduction, we did suffer one fatality at our St Ives mine during the course of last year; and then at the beginning of this year, our Tarkwa mine and 2 fatalities at the Asanko joint venture. These are highly regrettable, and this is something that we remain very focused on, learn from these incidents and make sure that they never happen again. I think just talking to that, and I'm not going to go through all the points, but the 286% improvement in reporting transparency on near-miss incidents is a really important metric for us. We believe that if we can get people to report on near-miss incidents, what we do is we learn from potential incidents before they materialize into serious injuries or, worse, to fatality. So there's a very big drive on getting people to report on near-miss incidents. We've expanded our approach around safety to include mental well-being and psychological safety. And so we are busy developing our approach and tools and risk assessments how we better manage that. And then I think innovation and technology space specifically related to safety is the development of vehicle interaction and collision avoidance technologies. We are making progress across the group with some of our operations a little ahead of others. We're confident we will have a solution in South Africa by the back end of this year, where it will become a legislated requirement. And other operations are following fast behind that. And then electric vehicle trials are going on both in Australia and later this year at South Deep to reduce diesel particulate matter risk but also the greenhouse gas risk or decarbonization. So the team are certainly moving in the right direction with many of the issues we need to tackle. In terms of gender diversity, we've got to a point of 23% women representation in our workforce. Importantly, in leadership roles that number is running ahead of the total workforce, we certainly believe that if we can drive the women in leadership positions, it will send the right message and provide the right leadership in our business to grow the demographics or match the demographics of our workforce with the countries in which we operate. Importantly, of the women we employ, 55% of them are employed in core roles. So it's important for us that women are represented across the business. We've had focused recruitment and retention development programs to make sure we achieve this. We've got a diversity and inclusion dashboard. We've done well with the Bloomberg Gender Equality Index, and those results are on our website. We've also conducted an independent group-wide review on harmful behaviors in behaviors in our business. And sadly, we've recognized that we've got more work to do in that space, but it's better that we know about it and that we can put, I suppose, corrective actions in to fix it. Focus on recruitment and development of indigenous Australians, youth and people with disabilities remains front of mind. And we've started a lot of work this year around how do we evolve our culture with a focus on building care and respected in our business so that Gold Fields is a place where people want to work and where people are proud to work. I'm going to ask Kelly to pick up on this.
Kelly Carter: Thanks, Martin. In terms of stakeholder value creation, whilst the efforts are obviously focused across all of our key stakeholder groups, we've got a very strong focus on our host communities being those communities that are most directly affected by and impacted by our mines. And that particular stakeholder grouping received 27% of all of the value created last year, which is some at $913 million. In terms of the focus areas that we undertake in order to achieve those results, we're really looking at 3 key areas, which is employment, being how we can employ more members of the host communities in which we operate, how we can procure goods and services from enterprises that reside within these communities and particularly SMEs and then how we can invest in those local communities in terms of community infrastructure, health and education facilities and other community projects with a very strong co-design principle underpinning that. Our second major 2030 target is to develop 6 legacy programs. These are transformational, enduring programs that are anticipated to have a material impact on those communities through economic diversification and job creation, infrastructure development, climate change mitigation and adaptation and improving health and education outcomes for those communities. As Martin mentioned earlier, a pipeline of those legacy programs have already been framed and conceptualized at all of our regions around the globe. And one of those programs at our Cerro Corona mine in Peru is ready to be launched later this year. Here, we provide some more color on our host community value creation. As I just mentioned, of the total value creation, 27% was dedicated to host communities being $913 million, a number that's risen steadily over the last 3 years, as you can see from the chart here. Important to note that in 2021, that number was $872 million. The largest share of host community value creation is the $747 million that we spent with host community enterprises. And supporting that activity, it's important to note that we introduced favorable payment terms for SMEs across all of our regions in the group being 14 days from invoice receipt. Our total procurement spend last year was $2.3 billion, 97% of which was spent within businesses in our countries of operation and over half of our employees being 52% come from within our host communities. Looking beyond our own operations, we're working with our communities, contractors and suppliers to create jobs outside of the mining supply chain, particularly in agriculture. And to date, we've created about 800 non-mining jobs, mostly in South Africa, Ghana and Peru. And these types of projects feature very heavily in our legacy programs. Yesterday, we published our annual report to stakeholders, in which we detail the value that we created in 2022 for all of our material stakeholders on a country-by-country basis. It also outlines our approach to engagement with all of those stakeholders. It also transparently shows some of the challenges that we're currently facing and how we're seeking to address those with our stakeholders. And that report is available on our website for you to look at.
Martin Preece: We just touched on decarbonization, and I did touch on those targets. Where we ended up last year is 18% of our absolute emission reductions. We had a 1% net emission increase, so that's linked to our growth. I think importantly, if we look at the key developments in terms of renewables, 14% of our group electricity came from renewables. Of that, that came from 2021, at 4%, so we've made a 10% mark in the year. And that's largely driven by the bringing online of the South Deep solar plant, the 50-megawatt solar plant that was done within budget. Our mine Gruyere in Australia completed the 12-megawatt plant. And then the Cerro Corona electricity has been certified as 100% renewable coming from hydroelectric. This year, we are working, as Paul said earlier, in terms of the capital we'll spend very hard on finalizing a microgrid feasibility study for us at St Ives mine in Australia, which will compile solar, wind, battery and gas to look at how we move to 85% renewable power at that mine. That's a long-life mine that we see value in investing in. And then as I said earlier, our sustainable development teams are working with our regions, I think, to properly scope our Scope 3 emissions and set reduction targets. That work is underway. Paul is playing quite a leadership role there as well with our teams. And then 3 of our mines are now ISO 50001 certified. And the remainder of the mines are going through the certification during the course of the year, so positive developments with decarbonization. As I said, the project rollout at our mine, the South Deep plant was commissioned late last year. I -- and then at below is the 12-megawatt plant at Gruyere, great developments for the year. Cerro Corona, as I said, is now classified as renewable. I've touched on this St Ives microgrid that we're working on right now. And then our colleagues up at the top of the hill in the Andes, at Salares Norte have started doing the work around the solar project concept study to put in a sort of 10- to 12-megawatt plant at Salares Norte. So we are continuing in earnest to get our renewables sorted out. The climate change report was released at the end of March this year. I think it deals with the strategies. It deals with our performance. And it obviously deals with the specific targets that we've spoken about. It deals with the energy performance at our respective mines, something we'd measure, I think, one, because we think it's important from the impact we make on the world. But it's also a significant cost driver in our business. So we want to measure that. We've measured progress against our 2021 climate change risk and vulnerability assessment. And we've got the key performance environmental areas that we cover in there. So we're looking at our Scope 1 to 3 performance. And as I said, that Scope 3 emissions will bed down during the course of this year. And then lastly, this isn't our view of the world. We have independent auditors that come in, and there's an assurance statement in there just to make sure that we keep our feet very close to the fire with this very important aspect. In terms of tailings management. I've touched on the targets a little bit earlier. But our GISTM conformance is on track. The Tarkwa TSFs in Ghana are currently being transitioned from upstream to downstream dams, and the team is making good progress there. I was on those dams with them earlier in the year. Our sort of tailings team, Johan Boshoff and Louise are working really hard and, I think, collaboratively with industry colleagues so as to, I think, get us the best solution. You will have seen earlier in the month, we're looking at solutions to mix the waste streams and monitoring technologies linking to how do we do this a whole lot better and collaboratively. We're doing early-stage planning around reducing moisture content. And that will, hopefully during the year, start materializing. We've developed our new TSF management standard, and the climate change baseline studies are done. I think importantly, a real positive step forward for Gold Fields is at Salares Norte, the mine we are building and will commission later this year, is that, that will be our first proper dry stack filtered tailings dam. And we believe we're going to learn many valuable lessons up there. And then we finished the construction of Cell 4 Granny Smith the past year and the Doornpoort at South Deep's TSF Stage 2 construction. That construction at South Deep basically is full life of mine, so that dam is now constructed for the next 80 years. Just in terms of water stewardship, against the target of 80%, we're already up to 75% of our water recycled and reused. And we've managed to get a 41% reduction in freshwater consumption. At Tarkwa, they've installed a micro-infiltration unit to increase recycling. And South Deep, pleasingly, has installed RO plant where we're tapping freshwater underground to generate our own potable water, which allows us to obviously generate or take less freshwater from the grid and increase recycling and reuse. So water, well on track, and I think the teams are doing really well in terms of getting us to the targets we've promised. Kelly?
Kelly Carter: Thanks, Martin. I think beyond the work that's been done across those 6 key streams, it's absolutely critical that everything that we do is underpinned by sound governance and compliance structures and practices. For us, we see this as being the absolute cornerstone of building trust with our stakeholders. And it's obviously something that we've always taken very seriously at Gold Fields. Whilst our alignment and upholding of King IV is absolutely central to this, I wanted to take the opportunity to discuss a couple of emerging trends and how that's shaping our approach to governance in the organization. I think what we're seeing is, with increasing expectations from both regulators and key stakeholders more broadly around transparency in reporting of ESG-related risks strategies and performance, what we're also then seeing is a corresponding increase in regulatory action and litigation particularly focused on green washing. Accordingly, our focus is then on ensuring that we've got robust controls in place that are firmly embedded within the business that give our stakeholders the confidence in the veracity and consistency of the information that's contained in not only our suite of annual reports but also our continuous disclosures. Another area that we're also seeing regulatory and broader expectations shifting is with respect to the understanding and influence that we have not only on the impact of our own operations but also those of our partners across their value chain. And in order to address that, we're really taking a multidisciplinary approach throughout the organization to conduct due diligence and manage issues such as human rights and modern slavery. And we've made some great progress in that across the group. And I'd particularly like to call out the work that's been done in our Australian region with respect to identifying and managing modern slavery risks in our supply chain.  I think what's really interesting about this is that it's an area where we see the intersection between the S and G in ESG. It's particularly pronounced, and it demonstrates the need for a very integrated approach to these elements. And that really underpins Gold Fields' approach.
Martin Preece: So I think just in conclusion, and I certainly not -- don't plan to go through this all again, I think we've set ambitious targets for ourselves in these 6 priority areas. We believe we are making good progress in general, across the board, and our teams are committed to it. These metrics are included in our long-term incentives so that this can't just be something we talk about, we hold accountable to it. We're obviously very disappointed with our performance in the safety space, where we've lost a colleague this year at Tarkwa. We lost a colleague at St Ives last year. And that is something that we have got right front and center of our mines and our focus to make sure that we eliminate serious injuries and fatalities across the business. So just I think lastly, just from my side, to thank the women and men of Gold Fields that continue to buy into this, to believe in this and to deliver these ambitious targets, something that I'm proud of and I'm sure all our people across the globe are proud of. If I can pause there, Thomas, then we can take some questions.
Thomas Mengel: Thank you, Martin. We'll go to the call first for questions, please.
Operator: The first question we have is from Jared Hoover from Morgan Stanley.
Jared Hoover: Three questions from my side: one on operations, one on strategy and one on ESG. Just on the operations, it looked like that had a pretty good performance across the sectors, the ASIC coming in at $1,150, almost $200 below your Gruyere dam. I think the [indiscernible] unwinding for the rest of the year. But it looks like you're also doing pretty well on your cash cost. And I know you don't guide on this or you don't disclose it. But can you [indiscernible] you mentioned that M&A is pretty much done for the group now. But there was a comment in your results which you're talking to still looking for inorganic opportunities. So should we be thinking of another acquisition in the $300 million to $500 million range in the near to medium term? And very lastly, on ESG, I think you previously quoted an amount of about $1.2 billion between now and the end of the decade. Is that your decarbonization CapEx? How much of that is baked into your recently revised SIB CapEx per ounce numbers of about $350 to $400 an ounce? I'll leave it there.
Paul Schmidt: Okay. Let me -- Jared, it's Paul here. Let me just talk to the all-in costs. You're right. Quarter 1 historically is always a much lower quarter in terms of capital, so you will see that the AIC will trend towards the guidance. And so there were no miracles this quarter in terms of cost reductions. I did say in my presentation we are seeing or forecasting inflation of around 7.2%. Obviously, we've seen a bit of positive on the lower -- the oil price coming through, but we have seen some rise-and-fall claims coming through from our contractors, especially in Australia. But all of the regions have got programs that they've implemented on site to try and take out costs or try and reduce costs. In terms of the stay-in-business capital, a lot of the ESG capital depends on whether we're going to go South build or are we going to do PPAs. Now the circa AUD 360 million that we said, the high level for the Australian microgrid, that is factored into our stay-in-business capital. The rest of the energy projects at the moment, we are assuming PPAs. If we decide not to do PPAs, we would have to revise the stay-in-business capital. I hope that gives you more guidance on that. But when we did announce -- when Chris announced 2 years ago, we said about $1 billion to $1.3 billion of capital. That was assuming all of it would be built by us. To date, we've obviously had the South Deep capital coming for their solar, and we're saying circa AUD 360 million for the St Ives one. That's what we've got at the moment. So it was probably just less than half most probably will materialize as capital. The rest will be picked up through the PPAs.
Martin Preece: I think, Jared, your second question around the book, most probably too happening much this week. But the deal we announced with Osisko, we will keep on scanning the market. But our -- I think we've got enough to focus on in the short term with the JV up at AngloGold and Tarkwa with Iduapriem. So that's a lot of work for our teams to focus on to get that over the line this year. Obviously, our new partners in Canada, we've got that work to do. So I think we've set our corporate development team go clean off the radar equipment, get your spreadsheets all up to date again and maybe a bit more scanning this year. And I think Paul has closed the wallet for a while until we can sort of get these things landed and get them back to steady state. Should I try and tackle Adrian's questions?
Thomas Mengel: Are there any more questions on the call?
Operator: The next question we have is from Tanya Jakusconek from Scotiabank.
Tanya Jakusconek: I just wanted -- I have 2. I just wanted to follow up on the inflationary pressures because the all-in sustaining costs did come in lower than I had expected, and some of it was capital. But some of it has to be the total cash cost, which the gentleman before me said you don't report. So I'm just wondering, as I look at some of your input costs in your cost structure, where you've had maybe some tailwinds, I think you mentioned, obviously, the oil price. So just a reminder of what you're using for oil and your sensitivity and your cost for that would be helpful. Also, you mentioned contractors. So I'm wondering, on the labor side, what are you seeing in terms of reduction there? And maybe any other consumable or other that I may be missing out on and what you're seeing there. So that's my first question.
Paul Schmidt: Tanya, I won't be able to answer all of them, but I'll give you the ones that are clear. I also said when we gave the guidance at the beginning of the year, we circa factored in 7% inflationary increases for our employees as well as the contractors. Unfortunately, we've seen a lot more pressure coming from the contractors. In the rise-and-fall basket, remember, there are also salary increase that come in. And especially in Australia, we've seen much higher demand. But when we gave guidance, if I'm correct, we used $95 oil price. Obviously, we're seeing positives in terms of that. Most of the other commodities are sort of tracking what we used in our guidance that we gave out at the beginning of the year, different things as to what we factored. I hope that answers it. Is there anything I've missed?
Tanya Jakusconek: Are you seeing anything on consumables? Are you seeing any lower cyanide prices, lime, steel, like grinding media? Anything else, right, anything else that...
Paul Schmidt: Freight we've definitely seen. Remember, freight is really only applicable to Cerro Corona because they ship the concentrate. We have seen a big reduction there. And that's one of the reasons when I showed in my presentation that it looks like Peru has got probably the lowest inflationary forecasts for the year. But in terms of the commodity basket, there's been positives and negatives coming in the baskets and also depending on the region. Some people are getting up, some people are getting down, but the consistent one is oil on the positive side. And on the negative side, it's increased salary pressures coming from contractors.
Tanya Jakusconek: And just on the oil side, if I could ask, in general, most of the coverage group were at $10 a barrel change, it's about $6, $7 an ounce to cost. Would you be in that similar range?
Paul Schmidt: Tanya, we'll have to get -- I'll be lying to you if I told you. We'll have to get back to you. That was what it was about 2 years ago. Let us check and between Avi and I, we'll get back to you.
Tanya Jakusconek: Okay. And then my second question has to do with you've now done these 2 new acquisitions or one is a joint venture, one you've made a footprint now into Canada. I'm just wondering, as you look at your portfolio, we've got obviously demand still sitting there that has to be dealt with and probably Asanko. Just kind of want to have your thoughts on how you're thinking about those and sort of timing on your decisions there.
Martin Preece: Tanya, I think...
Tanya Jakusconek: The mines, otherwise, yes.
Martin Preece: Yes. So Tanya, we're certainly very focused on the portfolio. We go into our strategy session midyear this year. Those mines are still making money for us, but we are looking at opportunities and options for those mines as well as in the longer term at Cerro Corona. And hopefully, by year-end, we'll be a lot clearer on what the process is with the broader portfolio. As we bring in a quality asset like Osisko, which is still some way off, it does give us those opportunities to look at the portfolio more holistically.
Tanya Jakusconek: Okay. So would it be safe to assume that by year-end, we will have some sort of a decision what you're going to do with both?
Martin Preece: That's what we're aiming at. And we're working at really hard. The teams are working on it both in the region and at the center to find the best pathway to value for us.
Operator: We have a follow-up from Jared.
Jared Hoover: Just one. Production came in pretty good in the quarter, but I just wanted to touch on South Deep. They also had a pretty good quarter. But with some of your commentary, you spoke through a fall of ground, some challenging ground conditions. So I just wanted to check, is that indicative of maybe issues around the orientation of the mine as you ramp up production? Or should we be thinking of that as just a localized event that isn't -- that probably won't occur again? Just some commentary on that, please.
Martin Preece: Thanks, Jared. And what I'll do is I've got some questions from Adrian which I'll try and answer at the same time. So we've had 2 ground -- fall of ground events at South Deep in the quarter. One was in a main access drive in one of the higher-grade corridors. Fortunately, nobody was injured, and the great testament to moving to mechanization that, one, we had less people there, but the people in a drill rig had proper robs and fobs on. So we've damaged the drill rig, but we're able to walk away from it. The teams are working on opening that up. So that, Jared -- to answer some of Adrian's problem -- questions, we reduced volumes out of that corridor. Been in the main access drive, so tonnages were down at South Deep related to that. That is a prominent stoping area. Your question, Jared, I think it's got nothing to do with the orientation. I don't think it's something that we must factor into the mine. But the reality is, at deep-level mining, you will have falls of ground and discontinuities in the geology. And we've learned how to get through it, rehabilitate those tunnels and get on with it. So the second incident occurred where one of the main ramps which we're actually starting to mine out, the footwall hold into an old conventional stope below it. So we stopped mining in that area. The ramps are generally fairly high-grade areas. We've stopped that mining. We had to go and rehabilitate that footwall, get it all concreted out again. That piece of work is finished now. The teams are back in their mining. So to answer Adrian's question, those are the 2 reasons for the lower tonnes and why the mining tonnes lagged the mill tonnes. So what we have had, 14 things to a strategy to stockpile, and that comes in thanks to the electricity crisis in South Africa is that we've got material that we've had stockpiled as we go along. So if we have load shedding, we typically keep our mining operation going and stop milling and hoisting and build up stockpiles because mining is our bottleneck. And we obviously want to keep the most expensive part of the business running where we've got the least flexibility in terms of capacity. So the mining and mill tonnes sort of lagged. As a result of that, I think that talks to grade as well. So we've drawn down on GIP, and we've treated stockpiled material during quarter 1. I think pleasingly, at the start of quarter 2, the volumes have picked up, and we're still getting back into the grade in those areas. So I think we've mined through it, Jared. We -- falls of ground will happen from time to time, and we will get through it.
Thomas Mengel: Thanks, Martin. Okay. We're going to go across to the webcast now. First question comes from Sergio from Credit Suisse. He is just asking why do you expect such a material increase in costs for the full year '23.
Paul Schmidt: It's capital. It's the simple reason. We're way behind in capital. Capital is unfortunately not spent equally over the quarters. We still got a big chunk to be spending on Salares Norte. So the bulk of it is capital that's coming through disproportionate on a quarterly basis, and that's why we will end up being very close to guidance.
Thomas Mengel: Thank you. Next question comes from Catherine from JPMorgan. She says there have been no changes to overall group guidance, production guidance. But can you please confirm whether there are any revisions to individual asset guidance compared to the February results?
Martin Preece: In terms of production, all the mines are tracking the individual guidance as well.
Thomas Mengel: Thank you very much. So Adrian had a couple more questions. On the South Deep solar project, he says it can be considered a benchmark study for other gold mines. How is the solar plant mitigating Eskom impact at South Deep currently? What is the plant's load factor? And how have electricity costs improved thus far?
Martin Preece: Thanks, Adrian. Certainly, it is mitigating the Eskom power, and hence, the study work we're doing currently around a wind farm, putting up turbines in South Deep. We've got most erected, and we're collecting wind data. And contrary to my belief, living in -- on the reef, I thought the wind didn't blow up here. The wind does blow, and we do see an opportunity for the smaller, so the 3 to 4-megawatt wind turbines. So what it is giving us, it's allowing us to keep our mining operation going. And it's making a dent. We forecasted about 24% of our annual electricity consumption from the solar plant as it is. And we'll keep on investing in renewables. In terms of the current load factor, we're currently consuming about 72% of what's being generated in that solar plant. What we found as we commission the plant is that the electricity that's going to the South Shaft, which is our old shaft, a lot of the equipment there, the pumps, the fans or direct drive equipment and the compressors. And what we found is that when we were starting those on load from the solar plant, that sudden spike in electricity was causing trips. So we've bought soft starters to put on that equipment. That is possibly being delivered in the next couple of weeks. It's got a fairly long lead time. That will get put in over the next couple of months. And we believe that by year-end, we'll be in the 90% consumption of what we're generating. I think your third question is the impact it's had. When we initially motivated the solar project, we envisaged about ZAR 100 million per annum coming out of our budgets in terms of our electricity spend. This year, when we put our budgets together, we sort of August last year had budgeted at about ZAR 124 million. And with the subsequent price increases at Eskom going beyond what we had envisaged, we are forecasting about a saving of between ZAR 160 million and ZAR 170 million on our electricity bill at South Deep this year. I hope that's answered your questions, Adrian.
Thomas Mengel: Thanks, Martin. I think Bruce Jackson at USS a sort of follow-on from -- that he's just asking, has Eskom load shedding impacted production in South Africa at all.
Martin Preece: So Bruce, I think we're blessed at South Deep. As I was talking earlier is that we've got more shaft capacity than we require. And we've got more milling or processing plant capacity than we require. So as I said earlier, what we do during load shedding at South Deep, and we're very unique, I think, to the rest of the mining industry here, because of that buffer we have, we are able to keep our mining operation going. And then stockpile in silos underground and stockpile on surface at the mill. And when load shedding is not prevalent, we catch up with our processing of ground and our hoisting of ground, but always a focus to keep the bottleneck activity, which is your mining and stoping, operating. So we track the number of days, and there's been a material increase in the number of days that we've been on load shedding. But at this stage, between the strategy I've now described to you, and we do have some diesel generators which we run when the load shedding sort of goes to Stage 6 for prolonged periods. I think last year, we started the emergency generators 3 or 4 times in anger. The rest of the time has just started to make sure they're turning over for maintenance purposes. So I think we are able to manage it well, but I think we're fortunate compared to a lot of other mining businesses.
Thomas Mengel: Thanks, Martin. Another question from Bruce is, when will the Scope 3 target reduction setting work be completed?
Martin Preece: We're aiming to complete that by year-end, Bruce.
Thomas Mengel: Thanks. So our next question is from Charmel Flemming from DRDGOLD. He says, congratulations on your gender diversity outcomes, and I look forward to following your journey to reach your target. Do you see the current war for talent and, in this instance, female talent or representation as a risk to achieving the target for 2030?
Martin Preece: I think the sort of fight for talent is a global phenomenon. We see it playing out very differently in our different regions. I think it's driven by the demographics and the culture in the region. So we certainly have very different challenges in each of our regions and different skills that are getting poached. What is pleasing for me is that we have the best demographics at our operations in South Africa in terms of female gender representation. So that's a positive, something I'm proud of from where I come. I think part of the solution, though, is how do we create an inclusive and caring culture that people want to work with us, that we don't have to get them -- lure them with other attractions. And we're doing a lot of work to build a culture that I think everybody feels valued. Everybody can reach their full potential. They see opportunity. There's a culture of caring. There's a culture of inclusivity and that we stopped the bullying and the harassment. I think that is so prevalent in core industries like us. So that's what our focus is going to be, is how do we create an environment where people can achieve their best, do their best and feel that they're part of something a lot bigger than themselves and that they can make a unique and valuable contribution.
Thomas Mengel: Thanks, Martin. Next question is from Peter Cromberge at Mergermarket. Can you outline what additional solar and wind capacity could be installed at South Deep and the approximate cost of this investment?
Martin Preece: Peter, so we're working on that. This year alone, we're going to put an extra 10,000 panels at South Deep. But we're then getting to the limit of what solar can do before we have to put batteries in. I have a view that in an energy-starved country, spending money on batteries is most probably not the best way to invest right now because there's a big battery called the grid and a lot of hungry consumers. So we are working with Eskom to take surplus energy back, that we can get back at a later stage. In terms of wind, that's the next phase. So we're most probably looking at between 30 and 40 megawatts sort of between now and 2030, 2035 of wind to put in at South Deep. And that would be our immediate focus and then most probably looking at some sort of battery solution. And then we top up those batteries with a bit more solar, and that's probably another 10 megs of solar answer most probably another 5 megs of wind after that. And that should keep us going sort of full life of mine. Cost sort of a good wind turbine, you're looking at about -- and I saw something over the weekend that price of them, they're running away as well. But per wind turbine, you're looking at most probably between ZAR 80 million and ZAR 100 million, so 10 of those is another ZAR 1 billion worth of turbines. You must probably looking at another sort of 100 million to 150 million of solar, but that would be at the back end. And batteries, the price of batteries, if we go to get enough battery capacity in most probably somewhere between ZAR 500 million and ZAR 800 million worth of batteries. But that's - batteries are right at the back end of what we're considering.
Paul Schmidt: But in -- sorry, in terms of the question that Jared has asked earlier, we haven't factored anything in for the batteries. We factored in the solar, and we factored in the wind in our capital guidance but nothing for batteries at all.
Martin Preece: Yes. And that 100 million, sorry, for solar is actually in this year's number. We've taken into account this year that we'll add the extra 10 megs.
Thomas Mengel: Yes.  Another question from Peter is can you outline any progress with regards to refinancing of near-term debt.
Paul Schmidt: We're in the final stages of refinancing our $1.2 billion. And hopefully, we can make an announcement in the next week or 2.
Thomas Mengel: Thank you. Bruce Williamson from Integral Asset Management asks, if Eskom goes closer to level 10 during winter, what curtailment of underground ops and loss of monthly tonnes do you expect?
Martin Preece: Bruce, I mean, let's pray that we don't get to stage 10. We have built scenarios from total blackout through those in various stages down. Our focus would, as I said earlier, be on maintaining the mining operation. Firstly, safety of our people would be right at front and center of what we need to do. We would then, after that, make sure that we can keep on pumping and then, after that, keep mining operations going. So we believe that on a sustained level 6 with our diesel generators, we can do that. What will impact is that we would stockpile material, so the revenue might lag the cost a little bit, but we try to keep the mining operation going. As we go at levels above that, we would switch off corridors of the mine at a time. So at stage 10, you're most probably looking at losing sort of 20% to 30% of your capacity. The team is doing detailed study work on that to how we best mitigate that.
Paul Schmidt: Yes. I think during the day, we theoretically could use 22 from the diesel gensets and close to 50 from the -- sorry, during the day, we could get a bit -- we could almost continue going because we would have circa 70 megs of power coming between solar and -- it's just in the evening, we wouldn't be able to run it full.
Martin Preece: Yes. And our concern is, obviously, we need to keep the mine dry. We need to make sure we can keep the ventilation going and keep our people safe. So it's an evening impact, and we'll obviously focus on the core activity of mining.
Thomas Mengel: Thank you. One more question from Bruce Jackson at USS. And he asks, how are you engineering the change from upstream to downstream dams?
Martin Preece: Thanks, Bruce. So what we're doing is we're reorganizing our waste stripping, and we are buttressing those dams and making sure that they can't go down the valley. So the waste dams are effectively now forming, I suppose, hills or mountains behind those tailings dams. So we incur a bit of extra cost running our waste facilities or waste truck from the open pits to then buttress and build, I suppose, small mountains or walls behind our tailings dams.
Thomas Mengel: Thank you. Last question from the webcast is from Asief Mohamed from Aeon Investment Management. And he asked, why do Gold Fields not disclose the pay ratio and the gender pay gap by major geographic segments?
Martin Preece: So in terms of -- I'm just going to get the right number so that I don't tell you fibs. That has been an issue for our business, and we've made significant inroads in that over the past couple of years. Just in terms of the pay gaps, and I'm just going to get the nice number here, so over the last 5 years, the gender pay gap reduced from an average differential of 25% in 2018 to the 3% at the end of last year. We've achieved that by allocating additional funds on an annual basis into the various regions on top of the normal salary increments that we award to address both the gender pay gap. But in the South African context, we were also doing it around the demographics to make sure that we close the pay gap both on gender but also on race.
Thomas Mengel: Thank you, Martin. I think we might have one more question on the call.
Operator: We have a question from RenÃ© Hochreiter from NOAH.
René Hochreiter: Just to be clear, you said that 90% of the power for South Deep can be generated through solar and wind. Did I hear that correctly?
Paul Schmidt: During the day.
Martin Preece: So I think what Paul said at the level -- stage 10 load shedding, we've got 22 megawatts of diesel emergency generators. That's not something we'd want to use as a first preference because, one, it's expensive, and it's putting carbon into the environment. And then we've got the 50 megs of solar. So we've got close to 70 megs of available power during the day, which should keep us going during the day. Obviously, as the night comes, we're limited to the 22 megs of diesel. And that was where we would have to switch off some of the mining corridors. So we would -- over the years, as we invest in more solar and as we invest in those wind turbines, we are aiming to get off the grid and eventually at the tail end which is not in the CapEx hit because we're not convinced on the batteries. We would look at putting batteries or some other storage solution in place. But the ultimate game, RenÃ©, is to get off the grid because that's the way we can ensure business continuity and meet these commitments that we've made to get our business carbon neutral.
René Hochreiter: Yes.  What is the total requirement? It sounds like it's about 100 megawatts.
Martin Preece: No, we're most probably burning average of about -- we'll get up to just over 60 megawatts.
René Hochreiter: Okay. I was in a trip to Australia last year, and I see that most of your operations in Australia have about 50% gas generated just electricity. And then there is solar or wind or a combination. Is it not possible in South Africa to put in gas-fired power station with, say, gas from Mozambique?
Martin Preece: I think that's the challenge. It's how far it's got to come from Mozambique, RenÃ©. The Northern part of Australia, and there's -- I'm told by my colleagues and maybe, Kelly, if I get it wrong, will help me right. But Western Australia, because the gas is mined in the Northern part of Western Australia, our mines get that gas at a discounted rate to the -- even the rest of Australia. And there's a line that runs -- a gas line that runs down from North to South, so we -- it's convenient for us. It's a bit cleaner. But as Paul had mentioned earlier, St Ives, we're looking at investing a lot of money there to even move away from gas. We want to get away from gas. Eventually, St Ives is a long-life asset that also will be backing as a Tier 1 asset in Australia, that we believe investing the right money into solar, wind, batteries is the place to go. It takes cost out of our bottom line, and it does the right thing for our business. So gas line from Mozambique, most probably quite expensive for us right now, and we see more value at South Deep in wind and solar.
Paul Schmidt: Yes. I mean, RenÃ©, renewables, I mean, that's more so the target because even gas, and we've seen it in Australia in the last year or 2, it's obviously subject to market pricing as well. Where renewables, you basically default to a fixed cost, once you've installed it, of the maintenance. So for South Deep, we want to go total green, as Martin said, in terms of wind and in terms of solar because then you've just -- you've got a fixed cost going forward. You don't have market pricing that affects you, whether it's gas, diesel or whatever you are using.
Martin Preece: I mean, RenÃ©, at South Deep, and I'm sure I've got the number right, with those clustered. But after CapEx, if you take the CapEx out of the picture, we're generating per kilowatt hour at just under $0.10 a kilowatt hour. You're going to struggle to beat that with the gas line all the way from Mozambique.
Thomas Mengel: We've got one more question from Adrian before we wrap it up. And he asks, what is the CapEx required for the tailings compliance by 2025?
Martin Preece: You know that number?
Paul Schmidt: Adrian, we'll have to get back to you. It's not material, but we'll get back to you.
Martin Preece: Yes. Certainly, I think, Adrian, it's been built into our business plans. Be it, as I said earlier, the waste that we're building, the little mountains or walls behind the dams that's factored into operating cost, there's obviously a lot of admin costs. There's a lot of monitoring costs. There's consultants' costs. But the bulk of that is -- not the bulk, I think it's all included in our operating cost. That's business as usual for us now.
Paul Schmidt: Yes. It's the extra haulage cost basically of that stuff. But yes, we'll get back to you, Adrian.
Thomas Mengel: Thanks. That is it with the questions. So Martin, if you want to wrap it up?
Martin Preece: I think just thank you to everybody for joining us. And then importantly, thank you to my colleagues around the world. They make this happen. Paul, Kelly and myself sit here and we talk about it. But the men and women around the world, they believe this, they live it, and they make it happen. So we have the privilege of presenting it, and I want to thank our colleagues from around the world who do this.